Presentation:
Operator: Welcome to the ManpowerGroup Second Quarter Earnings Results Conference Call. At this time, all lines are in a listen-only mode. After the presentation, we will conduct a question-and-answer session. [Operator Instructions] I would now like to introduce your host, Jonas Prising. Thank you, please go ahead.
Jonas Prising: Good morning and welcome to the second quarter 2016 conference call. With me today is our Chief Financial Officer, Jack McGinnis along with our Senior Executive Vice President in charge of Investor Relations and Former CFO, Mike Van Handel. I will start our call by going through some of the highlights for the second quarter. Then Jack will go through the operational results of the segments for the quarter and we’ll also cover our balance sheet, cash flow and the outlook for the third quarter. I will then come back for some final thoughts before we start our Q&A session. But before we go any further into our call, Mike will now read the Safe Harbor language.
Mike Van Handel: Thanks, Jonas. Good morning everyone. This conference call includes forward-looking statements, which are subject to known and unknown risks and uncertainties. These statements are based on management's current expectations or beliefs. Actual results might differ materially from those projected in the forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements can be found in the Company's annual report on Form 10-K and in the other Securities and Exchange Commission filings of the Company, which information is incorporated herein by reference. Any forward-looking statement in today's call speaks only as of date of which it is made, and we assume no obligation to update or revise any forward-looking statements. During our call today, we will reference certain non-GAAP financial measures, which we believe provide useful information for investors. We include a reconciliation of those measures, where appropriate to GAAP on the investor relations section of our website at manpowergroup.com.
Jonas Prising: Thanks Mike. We had another good performance in the second of 2016. And what continues to be a choppy and slow growth environment. Earnings per share in the quarter was $1.60 up 22% in constant currency. In line with the increase, we achieved in the first quarter. For the first half of the year our earnings per share were $2.57, a constant currency increase of 21%. Currency fluctuations have little impact on the first half as earnings per share was up 19% in U.S. dollars. Revenue in the quarter came in at $5 billion, up 5% over the prior year in constant currency. This was slightly softer than expected as we were forecasting a slight acceleration in the revenue trends of the U.S. and France and instead, we experienced a slight deceleration from the growth rates in the first quarter in those markets. Given the volatile lower growth environment, we've maintained an intense focus on pricing discipline, cost control and driving productivity throughout our branch network and this has resulted in an operating profit expansion in the quarter of 20 basis points to 3.9%. Operating profit in the quarter was $196 million, an increase of 10% in constant currency and U.S. dollars. For the first half of the year, operating profits was $328 million, an increase of 11% in constant currency or 9% in U.S. dollars. As we have discussed now for the last several quarters, the environment continues to be choppy with some markets improving, some stable and some soft. We also see choppiness for some markets within the quarter. And France was a good example of this, where we had improving growth in April followed by a weaker May and then slightly better trends in June. And this saw two things in a specific market is not unusual in a low growth environment or even small changes in underlying growth or perceived changes to the external market can translate into employer behavior and their hiring intentions in the short term. Our overall view of the external market conditions has not changed. We are operating in a global economy that has become somewhat softer over the course of the past year and while the market is uneven and economists now predict lower economic growth overall, it is still a market that presents us with very good opportunities. Despite the news of the U.K.'s Brexit decision likely affecting economic and employment growth prospects in that country in the short term, we believe the impact on the rest of Europe is less certain. Many of the countries in the EU and Euro zone are early in their economic recovery and still have significant room for labor markets to get back to where they were before the recession. We believe that once the news of the decision has been fully absorbed employers will adjust their organizational needs based on today's need, not anticipating the unknown outcome of years of Brexit negotiations. And this should provide us with good growth opportunities and a number of countries in Europe. The U.S. economy seems to be continuing its slow growth mode, parts of the economy performing well other parts less so, but overall, a stable economic environment and labor market where we can and should explore further opportunities for profitable growth as we have seen in our solutions and perm business. The situation in American markets is very mixed as far as economic growth prospects are concerned, although in a slow dynamic cases it is relative to pass growth rates that are still higher than in most developed countries. With few exceptions many of those emerging markets have provided us with excellent opportunities for profitable growth as we saw from our performance in Latin America and Asia Pacific also in this quarter. We are very well-positioned in this environment to help our clients with a sophisticated workforce solutions they designed this time of lower growth and of certain uncertainty. Workforce agility is top of mind for our client and our solutions offerings a well-suited to assist with their needs. This is reflected in our strong growth and ManpowerGroup Solutions, which saw constant currency growth - gross profit growth of 14% in the quarter. Jack and I will provide further details on thoughts on the current environment through the balance of this call. With the first half of the year behind us, we’re off to a good start to 2016 and I would like to thank all of ManpowerGroup colleagues around the world for their dedication and commitment to delivering our brand promise to our clients every day. And with that, I'll turn it over to Jack for some additional information in our segment operating results in the quarter.
Jack McGinnis: Thanks, Jonas. As Jonas mentioned we had a solid second quarter performance with earnings per share up 22% in constant currency and 5% constant currency revenue growth. Revenue growth was at the low end of our guidance range, but operating profit and earnings per share exceeded our expectations. The operating profit margin was 3.9% up 20 basis points over the prior year and up 10 basis points from the midpoint of our guidance. Compared to the prior year, our gross profit margin was unchanged while our SG&A costs were 20 basis points lower, resulting in the expansion in operating profit margin. Breaking our revenue growth down into a bit more detail on average we had one more billing day in the quarter this year compared to the prior year when Easter fell into the second quarter, which favorably impacted revenues about 2%. Currency negatively impacted revenues by 1% and earnings per share by $0.02 as expected. As was the case last quarter, acquisitions contributed about 3% to our growth rate in the quarter, therefore, our organic constant currency revenue growth in the quarter was 2% and after adjusting for the 2% benefit from additional billing days in the quarter organic average daily revenue growth was flat. Our 2% lower than the first quarter growth rate. I mentioned our revenue growth was at the lower end of our guidance range. This was primarily because we forecasted the slight acceleration in revenue trends in the U.S. and France from the first quarter levels and in fact, we saw a slight deceleration. Most other markets came in as expected. Earnings per share of a $1.60 exceeded the midpoint of our guidance range by $0.09. This out performance is mostly attributable to the stronger performance of our operations with $0.05 coming from operations. We realize a gain on the sale of an investment, which reduced our other expense adding one penny. Slightly lower effective tax rate added $0.01. We also picked up $0.02 on a lower weighted average share count to share repurchases during the quarter. Looking at our gross profit margin and detail, our gross profit margin came in at 17.1% flat to the prior year. Organically the staffing gross margin had a 30 basis point unfavorable impact on overall gross margin, which was primarily driven by business mix as well as direct cost increases. Such as the introduction of complementary healthcare costs for our staffing Associates in France discussed last quarter. I will discuss these later as part of the segment review. Growth and permanent recruitment fees remained solid up 12% in constant currency, adding 10 basis points to the gross profit margin, which helped offset the lower staffing margin impact. Acquisitions added 10 basis points to gross profit as well during the quarter. Next, let's review our gross profit by business line. During the quarter, the manpower brand comprised 62% of gross profit. Our Experis professional business comprised 20%, ManpowerGroup Solutions comprised 12%, and Right Management 6%. Consistent with the last several quarters our strongest growth was achieved by our higher value solutions offerings within ManpowerGroup Solutions and our higher skilled professional staff within Experis. During the quarter, our Manpower brand reported constant currency gross profit growth of 2%. On an organic basis, gross profit was down 1% in line with the first quarter. Within our Manpower brand, approximately 60% of the gross profit is derived from light industrial skills and 40% is derived from office and clerical skills. Gross profit growth from light industrial skills increased to 5%, up from the 3% increase in the first quarter due to an improvement in gross margin percent. Gross profit in our Experis brand grew by 8% in constant currency. On an organic basis, gross profit declined 1% in constant currency. Our Experis business line contribution was strong, up 11% in constant currency as a result of continued productivity enhancements, strong expense management, and acquisitions. ManpowerGroup Solutions includes our global market leading RPO and MSP offerings as well as talent-based outsourcing solutions, including Proservia, our IT infrastructure and end-user support business. Gross profit growth in the quarter was up 14% in constant currency with very good growth in our RPO and MSP solutions offerings. Right Management also contributed nicely to the quarter with gross profit up 3% in constant currency. I will discuss this further in my segment reviews. Our reported SG&A expense in the quarter was 665 million, an increase of 2% over the prior year or 3% in constant currency which included 26 million from acquisitions which was partially offset by a favorable impact of 6 million from changes in currencies. On an organic basis in constant currency, SG&A expenses were down 7 million or 1% compared to the prior year. SG&A expense as a percentage of revenue in the quarter improved 20 basis points to 13.2% as we continue to drive efficiency and productivity improvements across our businesses. Next I will discuss the operational performance of each of the segments. The Americas segment comprised 22% of consolidated revenue. Revenue in the quarter was 1.1 billion, an increase of 1% in constant currency. Profitability was stable with OUP of 54 million equal to the prior year level in constant currency. OUP margin was also stable at 5%. Permanent recruitment, up 8% in constant currency over the prior year and strong performance in our higher margin solutions offerings help to offset the softness in staffing services. Additionally, SG&A expenses continue to be very well controlled down against the prior year on an organic basis. The U.S. is the largest country in the Americas segment, comprising 67% of segment revenues. Revenues in the U.S. was 725 million, down 5% - prior year. As we have mentioned in recent quarters, we have seen weakness in the manufacturing side of the U.S. economy impact demand for our services. And while our business is still down in the second quarter on an average daily revenue basis, we did see some improvement in the rate of decline in the month of June. During the second quarter, OUP decline 4% in constant currency to 40 million. Our OUP margin was 5.5% equal to the prior year. Contributing to OUP margin stability was a stable gross profit margin combined with good expense control. Within the U.S., the Manpower brand comprises approximately 40% of gross profit. Revenue for the Manpower brand in the U.S. was down 8% in the quarter, a slight decline from the 7% decrease we saw in the first quarter. This decrease was driven by revenue from industrial skills, which has been uneven as a contractual rate of 5% noted in the first quarter declined to a contractual rate of 7% in the second quarter. We expect the revenue trend to improve for the Manpower brand in the third quarter as we anniversary certain client losses in the prior year, which were exited due to pricing discipline. The Experis brand in the U.S. comprised approximately 40% of gross profit in the quarter. Within Experis in the U.S. IT skills comprised approximately 70% of the revenues. During the second quarter, our Experis revenues declined 5% from the prior year. This was primarily the result of Experis revenues from IT skills, down 4% from the prior year, which reflected a reduction in year-over-year average billable hours during April and May, which improved in the month of June to near the prior level. Our ManpowerGroup Solutions in the U.S. contributed 20% of gross profit and continues to see strong revenue growth of 18% in the quarter. This strong growth was driven by continued demand from our clients for our higher value RPO and MSP solutions. Our Mexico operation continued to perform well and revenue growth in the quarter of 7% and constant currency down slightly from the first quarter. Revenue in Argentina was up 16% in constant currency, which reflects the impact of inflation. Revenue growth in the other countries within Americas was up 19% in constant currency or 6% on an organic constant currency basis. We saw revenue growth in Peru, Colombia, Central America, and Brazil. Growth in Canada was also strong due to the Veritaaq acquisition completed last September. Southern Europe revenue comprised 39% of the consolidated revenues in the quarter. Revenue in southern Europe came in at 1.9 billion an increase of 1% in constant currency. OUP was solid at $102 million an increase of 6% from the prior year in constant currency and OUP margin was 5.3% up 20 basis points from the prior year due to improve margin in Italy and Spain. Permanent recruitment growth was very strong in the quarter up 19% in constant currency. France revenue comprised 65% of the southern Europe segment in the quarter and was up 2% over the prior year in constant currency, which represents the 2% decline from the growth rate reported in the first quarter after adjusting for billing days. On a monthly basis, average daily revenue growth was 3% in April declined to 1% in May and then rebounded back to about 3% again in June. More recently, we've seen slightly lower growth over the last few weeks. These trends continue to illustrate the choppy nature of the environment in France. OUP was $68 million a decline of 1% in constant currency and OUP margin declined 20 basis points to 5.4%. As discussed last quarter, our gross margin was unfairably impacted by the introduction of complementary healthcare costs for our temporary associates as well as other direct cost increases and this was partially offset in the current quarter with the implementation on April 1st of the lower family welfare tax as part of the responsibility pact. Permanent recruitment contributed strongly to gross profit up 17% in constant currency. Revenue in Italy declined 8% in constant currency to 300 million, with strong OUP growth of 13% to $23 million. It's important to note that the Milan Expo impacted the prior year revenues and excluding Expo the decline is approximately 3%. We have seen improve staffing gross margin in Italy and continued strong permanent recruitment growth of 26% in constant currency partially driven by government subsidies resulting in reduced social charges for new hires. The OUP margin expanded by 140 basis points to 7.6%, which also reflects very good SG&A costs management. Revenue growth in Spain remained very strong up 14% over the prior year in constant currency. This organic growth rate is down from the first quarter after adjusting for billing days, however, we are pleased with our continued strong performance. Our operation continues to perform well in Spain expanding their gross profit margin with an improving mix of businesses. OUP was up 66% in the quarter in constant currency and OUP margin expanded by a 120 basis points. Our Northern Europe segment comprised 26% of consolidated revenue in the quarter. Revenue was up 10% in constant currency to 1.3 billion. The 7S acquisition completed last September in Germany, contributed to the revenue growth. On an organic basis, revenues were up 2% in constant currency or down 2% on an average daily basis which was stable to the trend experience last quarter. OUP increased 13% in constant currency to 38 million and OUP margin of 2.9% was up 10 basis points. We continue to see mixed performances across Northern Europe segment with some markets like the Netherlands and Belgium improving and other markets like the U.K. softening slightly. Our largest market in Northern Europe segment is the U.K., which represented 37% of segment revenue in the quarter. U.K. revenues were down 1% in constant currency or down 4% on an average daily basis generally in line with the first quarter trend. As noted in previous calls, this decline is primarily driven by lower demand from one of our very large clients. Excluding the impact of this client, average daily revenues were up 1% year-on-year on a constant currency basis. While we see strong growth in the Experis professional brand, which is up 50% in constant currency over the prior year, the market for our Manpower staffing business has weakened, especially across some of our larger accounts and within the public sector. Growth in permanent recruitment fees remains healthy, up 9% in constant currency. Revenue growth in Germany was up 58% in constant currency excluding the impact of the 7S acquisition that closed in September of 2015, organic revenue growth was good, up 8% in constant currency or 3% on an average daily basis. Revenue in both the Netherlands and Belgium improved significantly in the quarter, up 16% and 10% respectively in organic constant currency on an average daily basis. In the Netherlands, we have closed the GAAP compared to market growth after the anniversary of account losses in early 2015 that were exited due to lower pricing. Other markets in northern Europe had a revenue decline of 4% in constant currency that's very strong growth in Poland was offset by significant declines in Russian and a few other markets. The Asia Pacific Middle East segment comprises 12% of total company revenue. In the quarter, revenue was up 10% in constant currency to 615 million. On an organic basis excluding the Greythorn acquisition, revenue was up 6% in constant currency or 3% adjusted for billing days. OUP was 22 million in the quarter, an increase of 19% in constant currency and OUP margin increased 30 basis points to 3.6%. The OUP margin increase was driven by strong permanent recruitment growth of 13% in constant currency and improved SG&A leverage. Revenue growth in Japan was up 1% on a constant currency basis. Disciplined SG&A costs management improved operating leverage in the quarter, which drove an OUP margin improvement of 11% on a constant currency basis. Revenues in Australia and New Zealand were up 19% in constant currency or up 3% on an organic constant currency basis excluding the Greythorn acquisition. Demand in Australia decline in the quarter and remains at depressed level given the economic challenges in the markets. Revenue in other markets in Asia Pacific Middle East was solid, up 11% in constant currency. This was the result of a good double-digit growth in the number of markets, including India, Korea, Taiwan, and the Philippines. Our Right Management business had a very good performance in the quarter with revenues up 3% in constant currency to 73 million and OUP up 26% to 14 million. OUP margin expanded 360 basis points to 19.8%. Right Management's strongest growth came from outplacement fees in the Americas region. This growth was primarily driven by strong sales execution in the United States. Additionally GP margin expanded due to a shift in business mix. That along with SG&A expense reductions drove the strong OUP margin performance. I'll now turn to cash flow and balance sheet. Free cash flow defined as cash from operations less capital expenditures was very strong in the first half of the year at 231 million. As much in last quarter, this includes the sale of the 2015 French CICE tax credit in March for 143 million. At the July 2015, CICE sale occurred in the first half of the year last year the reported free cash flow of 19 million would have represented a more normalized level of 149 million. At quarter end, days sales outstanding was flat to the prior year level, which represented a slight improvement from the first quarter. Capital expenditures represented 31 million during the first half, which was up primarily due to our investment in recruiting centers during the first three months of the year. Cashews for acquisitions here to-date represented 41 million, which primarily consisted of our acquisition of cyber Netherlands and the second quarter and follow-on payments related to prior acquisitions. During the quarter, we repurchased 2.3 million shares of stock for $173 million. Bringing total purchases for the six-month period to 3.8 million shares for $291 million. As of June 30th, we have 1.5 million shares remaining from repurchase under the 6 million share program approved in October of 2015. Our balance sheet was very strong at quarter end with cash of 546 million and total debt of 854 million. Bringing our net debt to 308 million. Our debt ratios are very comfortable at quarter end with total debt to trailing 12 months EBITDA of 1.1 and total debt to total capitalization at 25%. Our debt and credit facilities did not change in the quarter. At quarter end, we had a $350 million euro note outstanding with an effective interest rate of 4.5% maturing in June of 2018 and a €400 million note with an effective interest rate of 1.9% maturing in September of 2022. In addition, we have a revolving credit agreement for 600 million, which remained unused. Next, I will review our outlook for the third quarter of 2016. We are forecasting earnings per share to be in the range of $1.66 to $1.74, which includes a negative impact from foreign currency of $0.03 per share. At the midpoint of our guidance, we are forecasting $1.70 per share up 8% on a constant currency basis over the prior year on constant currency revenue growth of 2%. Our constant currency revenue guidance range is for growth between 1% and 3%. The impact of acquisitions is about 2% of the growth rate in the third quarter making our organic constant currency growth flat at the midpoint, which is inline with our second quarter experience on an average daily revenue basis. Our revenue growth in the third quarter is not significantly impacted by billing days as they are relatively equal year-over-year. From the segment standpoint, we expect constant currency revenue growth in the Americas and Southern Europe to be in the flat to lower single-digit range with Northern Europe and Asia Pacific Middle East growing in the mid single-digit range with Northern Europe benefiting about 6% from acquisitions. We expect revenue growth at Right Management to be in the lower single-digits. Our operating profit margin should be flat to slightly lower than the prior year. We expect our income tax rate to approximate 36%, and we estimate our weighted average shares to be 70.4 million. Reflecting share repurchases through the end of the second quarter. With that, I would like to turn it back to Jonas.
Jonas Prising: Thanks, Jack. We delivered a second quarter with good earnings growth despite patchy and uneven markets around the world. Our focus on price discipline along with strong execution and managing our costs in driving productivity produced good results. No doubt, the recent Brexit vote in the U.K. along with other recent geopolitical events has added an additional level of volatility really proceed to the global economic outlook. Some of these events that are primarily political in nature, financial market related, but both of these factors can easily affect the underlying economy and our employers think about workforce needs. I think it's safe to say that no one knows for certain what the true impact will be in the U.K., Mainland Europe or the world economy. With that added uncertainty and the slow growth environment our clients are looking for a trusted partner such as ManpowerGroup to help them solve many of the taxing issues they are grappling with as they adjust to this new normal of certain uncertainty. And this is precisely the reason we’ve diversified and strengthened our range of workforce solutions and brands. Our global scale and client mix provides us with many opportunities to take advantage of profitable growth opportunities and with different countries and regions moving at different speeds, it also provides us with the opportunity to upset weaknesses in some markets and strengthen others. We will continue to invest in markets and offerings where we see opportunities for growth and adjust in any markets that seem to be facing more adverse trading conditions. As I mentioned at the beginning of our call, this view of market conditions is similar to what we have discussed in our recent calls. It is choppy and slightly softer, low growth global economy can provide us with good growth opportunities because it is the kind of environment we know our clients need for agility and flexibility will become even more paramount and that we are very well-placed to provide value to our clients with a global reach and strong brands. We have an experienced and talented management team that I'm confident can quickly adapt to changing market environments. Regardless of the environment, we will continue our focus on generating growth with strong pricing discipline while continuing to drive productivity through improved processes and enhanced technology. We will remain agile and adjust as necessary, so we can continue to build on the very good progress we have made in the first half of the year. And with that, we come to the end of our prepared remarks, and I would ask the operator to start our Q&A session.
Operator: [Operator Instructions] Anj Singh of Credit Suisse. Please go ahead.
Anjaneya Singh: Hi, thanks for taking my questions. Jonas, you indicated that your overall view of the market hasn't really changed yet your forecasting another quarter of flattish revenue growth organically. So, I guess could you give us a little bit more insight on what continues to drive your more optimistic outlook and perhaps, do you think acceleration towards the mid-single digit growth levels is possible in this type of choppy environment?
Jonas Prising: Well, as we discussed over the last couple of calls, we're in an environment when you step back over the last 12 months you can clearly see that we have a slightly softer global environment, but it's very choppy. So, some markets are improving, others are stable and others are declining somewhat. So, it really depends, on which parts of the world or which countries would accelerate and in particular in our case as you could see we had France is a good example of that choppiness. A reasonable view of April and that’s what we guided to when we spoke at our last quarter call. And then a weaker May, and then slightly better in June, and then slightly weaker again in the first couple weeks of July. So, we really look at this as an environment where you have to be very good operationally, very disciplined in terms of your pricing, and very disciplined in terms of your cost management. Clearly ready to invest in markets where we see opportunities and then others if there is a pullback be ready to act in that way. So, I still think that the overall outlook for Europe is that they are in the early stages of economic recovery on average, and their labor markets are still not where they were before the recession, so as it relates to Europe certainly there is still upside potential, but of course, it's very difficult to determine when and how and where that would occur. We’re prepared to go either way and to take the opportunities where they are . As I mentioned, slow growth environment means volatility and organizations wanting more agility and flexibility and even within slow growth environment that can provide some good opportunities.
Anjaneya Singh: Okay. That's helpful. And then one for Jack. Jack, could you talk a little bit about your EBIT margin guidance for Q3. I think you are forecasting about 10 basis points down year-over-year at the midpoint. Could you just help us with the puts and takes of what’s driving that Outlook. Is it just lower operating leverage, things out there. Thanks.
Jack McGinnis: Sure. So as you say, when we look at the Outlook for that margin compared to the second quarter, so as we talked about in the second quarter we were able to get good SG&A leveraging and you saw the 20 basis points of improvement year-over-year fall to the bottom-line. Picking up on, what Jonas said about what we saw though during the quarter in terms of the revenue trends, the U.S. and France, were both softer than what we expected at the beginning of the second quarter. So when we look into the third quarter and we look at that continued flat organic growth, it just makes it that much more difficult to sustain that operating leverage. So what we are seeing in the guidance for the third quarter is basically, we’re going to continue to as we do every quarter continue to drive operational efficiencies but in that flat organic growth environment just makes it that much more difficult to sustain that. So that that’s what really what you’re seeing in the operating margin guidance for the third quarter.
Anjaneya Singh: Okay. That's helpful. Thanks a lot.
Operator: Our next question comes from the line of Tobey Sommer of SunTrust. Please go ahead.
Tobey Sommer: Thank you. I wonder, if you could just readdress the monthly trends that you talked about in France. I think, you said slower trends within the quarter but kind of, more recently slightly, kind of, slower growth. I was curious does that represent slower growth year-over-year, kind of, versus 2Q or just kind of, versus April and May. Thanks.
Jack McGinnis: Sure. Tobey this is Jack. I will take that one. So during the quarter, what we saw was 3% growth year-over-year in the month of April that’s float to 1% growth in May and then back to close to 3% growth in June, so those are all year-over-year numbers and when we talk about July and the trends we’ve been seeing more recently, we have seen a slowing down to near what we saw in the middle of the quarter, and again, that would be on a year-over-year basis. So that’s really what we're talking about in those monthly trends and what we are seeing more recently. And, in fact, is that lower-level that we are anticipating some level of stability. We are not anticipating that that’s going to continue to decline but on the flipside we are not anticipating that that’s going to be a significant lift going forward. We will continue to monitor that to see if they try - if they are trying to merge this from the strengthening or a deceleration point from this point forward.
Jonas Prising: So Toby, I think the operative word here is choppy, right, because as we said on last quarter, we had some acceleration going into April, so we somewhat projected that by going across the second quarter and now we're seeing maybe just a slight deceleration as we get into July and we are projecting that against for the third quarter. So, hopefully we are favorably surprised this quarter as we were unfavorably surprised in the second quarter. So we will see how things turn out, but it's a choppy environment so it's hard to say exactly what the trend is and where it is going overall.
Tobey Sommer : Would you mind just giving us the growth rates in your RPO and MSP businesses and comment about the drivers in the durability of the trends there?
Jonas Prising: So ManpowerGroup Solutions grew by 14% and we generally don't talk about the individual growth rates within each of the offerings. We have three global offerings, primarily within ManpowerGroup Solutions and that’s RPO, which has very strong growth and MSP which also had very good growth and Proservia, which is our technology infrastructure offering across Europe and then we have local TBO, so talent-based outcome solutions that we offer in various markets. So overall, we continue on our strong double-digit growth in ManpowerGroup Solutions and we had some very good performance in RPO and MSP and particular. Next question please?
Operator: Our next question comes from the line of Manav Patnaik of Barclays.
Manav Patnaik: Good morning, gentlemen. First question is just I guess, you mentioned several times that Jonas, in terms of you see several opportunities you are making investments there. You guys have been - may be a little bit more active on the M&A side over the last year. Just curious on how you categorize those opportunities in terms of organic investment just given the low leverage and the top line with the acquisition opportunity?
Jonas Prising: Well, our view for acquisition is that it’s really something that we do under specific circumstances in specific geographies and particular in areas of IT, so under the Experis brand and would consider under the solutions - under our solutions activity. So, those are really the two areas where we would do them. We don't to them for growth per se. We don't buy share. We make these acquisitions as platforms for growth. And in this quarter you saw make an acquisition in Holland and it will affect at least double our IT capabilities in that market. Overall our teams in Holland are doing a good job, but we think that there are more opportunities in the IT space there, and that’s why we made the acquisition in that market. As it relates to the investment in markets, we look at where we - where they are and where we see the opportunities, and then we had resources, so that we strengthen it and we do that in those markets where we believe we are on an upswing. Sometimes as you can imagine it's a little bit difficult in this choppy environment, what is going up and what is going down, but we’re absolutely and actively looking at those opportunities, because we still think that even in a choppy and volatile environment things can really move very well in a number of countries. And that’s what we're looking at.
Manav Patnaik: Okay. And then, I guess just one other question for me, which is can you give us a little bit more color on what you’ve seen during - in Italy, obviously, it seems like that’s the next economy in trouble and growth both for you guys, just any color there could be helpful?
Jonas Prising: Well, clearly the market growth has come down in Italy since it’s been growing very rapidly for the last couple of years and particular in 2015. The Italian government introduced some labor reforms, some of them you can see playing out in our own business. They are positive in terms of some additional flexibility, but also some overall flexibility for high rate as far as employees are concerned and that’s why you can see from our perspective a very, very strong performance on permanent placement. So, I would say overall Italy is still a very good market, long-term, of course, the penetration rate with the use of our kinds of services in Italy is much lower than the European average. So, we think that Italy is going to be a very, very strong market for us and it is a very strong market for us even today. We've been a little bit week on the S&P side and we’re working to make sure that we cover that gap to market, but as you will have seen from our results our GP growth is this strong in our profitability growth is also very strong. Despite the weaker topline. So working against hard comps in Italy and making sure, we make up the gap in particular on the S&P side, so that we get back to market their but overall the Outlook for now is these very positive for Italy overall and we will see as bank issues and other things like that translator affect the market overall.
Manav Patnaik: All right. Great. Thanks a lot guys.
Operator: Next question is from Andrew Steinerman of JPMorgan. Please go ahead.
Andrew Steinerman: Hi. I want to ask about the share buyback philosophy. I know you have a remaining program in place. I thought I heard in the third quarter guide of 70.4 million shares for the third quarter guide. Does that include what share buyback has already been done or does that anticipate further share buyback during the quarter and if you could talk about your share buyback propensity here that would be great.
Jack McGinnis: Andrew, this is Jack. I will take that one. So the 70 point for is where we ended the quarter effectively, so we are not giving any guidance on potential future share repurchases, so I think that answers that question. I think as you would have seen there was good activity during the second quarter . And we saw that in the first quarter as well. So in terms of our strategy on share repurchases, the short story is the strategy remains the same. We continue to purchase shares very opportunistically. We look at our balance sheet on an overall basis. We continue to monitor a very strong balance sheet trend. And with that being said, we continue to think that share repurchases are good avenue to return cash to our shareholders with that as the backdrop. So we will continue to do it opportunistically going forward there isn’t a set schedule or amount in mind and we will continue to update you on a quarterly basis on our activity.
Andrew Steinerman: Right. And you say it remains the same but it is a pretty notable change from a year ago.
Jack McGinnis: Yes. So, if you look at the trends. 2015 was an increase on an overall basis particularly in the second half of the year. There was a lot of activity so with that as the backdrop, it's not that inconsistent with what we saw in the trends and as we exit the second half of 2015.
Andrew Steinerman: Agreed. Thank you.
Operator: Next question comes from the line of Tim McHugh of William Blair & Company.
Timothy McHugh: Hi, guys. Thank you. Just on France, I apologize if I miss this, but can you elaborate on what you think the choppiness was attributable to just the market or I guess, competitive trends impacting the performance there. Can you make anything - any storylines out of the choppiness that you have seen?
Jonas Prising: Well, first of all I think it's really consistent with a slow growth market where small changes in any area could create volatility that looks a little bit dramatic but in itself is really just from a very slow growth base. France had strikes in May, France had flooding’s in May. You know, so there is the uncertainty maybe across Europe that was then affected, so as maybe some employers anticipated difficulties for their services and products in Europe. So it's hard to say exactly what exactly causes the choppiness, but overall I would say it is not inconsistent with what you would see in a slow growth environment. Overall, you've also see the Prism data coming a little bit weaker in June, so that would be the situation. But overall, we think the market is still far away from its peak when 2007, so there is still good opportunity and if there is some growth notwithstanding this volatility, companies are going to be looking for flexibility. And although today is the day when the new user or the latest addition of the French labor law changes comes into effect which is what caused the strikes, we think that this is still a market where our kinds of services are extremely effective and attractive for employers and as you may know these latest changes don't really impact us directly or industry directly, but it is a sign of France trying to become more flexible and more competitive as a country. So overall, the outlook on France is good, notwithstanding the volatility that we seen in the second quarter.
Timothy McHugh: Okay, great. In the U.S. you mentioned relative to your expectations wasn't quite a strong. I guess, what was it - I guess, in your traditional Manpower division or was it, IT. And so what part of it was softer than you thought and the IT part that you said improved in June, I guess any color on what that was or what made that trend change?
Jonas Prising: Well, the Manpower business is really well. Sorry, the ManpowerGroup business in the U.S. is very well diversified, so if we deconstruct the various elements, solutions growth was very strong and, perm growth was good, and as we talked about in prior calls, perm growth is good within the context of an extremely strong prior year comp, so perm is still solid as you’d expect getting at this level of unemployment getting talent is hard, so we see some good evolution there. The Manpower business, what we talked about in April looked to be a little bit stronger compared to the fourth quarter. So we saw Q1 improve a little bit, and then it slipped back again somewhat. So, I really don't think there's much of a change there. The slight improvement we saw didn't happen and actually there was a slight softening, but overall we think the U.S. economy is doing well in some areas and not so well in others, and our Manpower brand is exposed to big global manufacturing companies that are not doing as well as you can see from the overall jobs reports and goods producing companies in the U.S. and in particular they would be also opposed to a strong dollar. On the Experis side, we did see some softening, and I think overall that is still the area where we have more work to do, because we have a gap-to-market that we’re working on. I think overall the market for IT is probably slightly softer, but there are segments within that SMB for instance or healthcare that are still strong, and financial markets probably not as strong, so we probably moved down a bit with the market to some extent, but that doesn't change the fact that we’re still behind market and that’s exactly what we’re working on.
Timothy McHugh: Okay. Thank you.
Operator: Next question comes from the line of Sara Gubins from Bank of America Merrill Lynch.
Sara Gubins: Hi, thanks. Good morning. Couple quick questions on France. First, could you give us an update on the pricing environment there? And second, could you help us think about France margins in the back half of the year, should the year-over-year declines that you saw in the first half get a little bit better, and I know that’s a bit of a loaded question, because it will depend on what the revenue looks like?
Jonas Prising: Okay. Well, I'll take the first question, and then I’ll have Jack to do the –take the margin question. The pricing - France as we know is a very price sensitive market. And we've clearly - it's always competitive. We know that some of our competitors have been a little bit more willing to move away, and let some of the subsidies of various forms go into their pricing. We have been very pricing disciplined. We intend to continue to be very pricing disciplined, but at the same time, of course, we’re going to make sure that we understand where the market is. Because we intend to stay with the market, so we keep monitoring it, very disciplined pricing and also keep a keen eye on where the market is and where we need to be as well.
Mike Van Handel: And Sara, on the margin question, I think as you look out to the third quarter for France, I think you should expect to see what we saw consistent with where we are ending the second quarter on overall basis. And we talked about some of the items impacting the margin overall with the healthcare costs as well as the subsidies and I think looking forward to Q3, you should in this continued revenue environment, you should continue to expect more of the same going into the third quarter.
Sara Gubins: Okay. Great. Thank you. And then when I look at the third quarter guidance for Northern Europe, it looks like it's about down 2% to flat on an organic constant currency basis. Could you help us think about what your expectations are for key markets like the U.K., Germany and the Nordics?
Jonas Prising: Sure. So breaking that down looking at Germany, as we covered earlier Germany has had good underlying organic growth in the quarter and we did have the acquisition of 7S and that will anniversary in September. We expect that to continue into third quarter. We also talked about the Netherlands and Belgium also having very good underlying growth. We do expect that to continue and to be stable into the third quarter as well. And then the other big market obviously is the U.K. for Northern Europe and so when we look at the U.K. and we talked about earlier about the underlying 4% decline year-over-year an average daily revenue. As we look into the third quarter, we do anticipate a bit of a stable operating environment for the U.K. towards the end of the quarter, we saw just a little softness on the perm side. We anticipate that softness continuing into the third quarter based on the uncertainty and the environment but on overall basis, we see the U.K. relatively stable into the third quarter.
Jack McGinnis: And so maybe just - also just to add a little bit more, if you look at Northern Europe overall, so there is a lot with the acquisitions and number of days, there is a bit of noise in the second quarter but if you take it on an ADR organic basis, it was down about 2% in Q2. And Q1, Q3 pardon me, we are looking on an ADR organic basis to be down about 1%. So in fact, at the midpoint of our guidance in Q3 it’s slightly better, slightly less negative than Q2.
Sara Gubins: Great. That's very helpful. Thank you.
Operator: Next question comes from the line of Jeff Silber from BMO Capital Markets. Please go ahead.
Jeffrey Silber: Thanks so much. Wanted to focus more about the current environment. I guess, it's been about four weeks since the Brexit vote happen. Have you seen a meaningful change in the U.K. and or Europe in terms of the level of uncertainty there?
Jonas Prising: Well, there is a great deal of uncertainty, that the question is how much have we seen percolate into the real economy? And I would say that, if you look at the U.K. market first you could see that job openings fell ahead of the Brexit but other than that we've not seen any real tangible examples of any change would possibly the only difference being some softness on the perm side. But in actual fact that you take away the business that we had in the big large client that we had, the U.K. improved a bit and was flat or a little bit better than flat in the second quarter, so no impact as yet in the U.K. And I think a lot of perceived uncertainty across Europe. But as I mentioned in my prepared remarks, I think that once this perceived uncertainty gets overcome and people settle down to the fact that this is going to be years of negotiations and nobody really knows what it's going to be like, employers are going to get back to the business of understanding their current employment needs and just drive their businesses and their organizations in the directions that their business dictates. So we don't know what the impact is going to be on greater Europe and on the world at large. In the long-term but once the noise settles down a bit things will sort of move on and wait to hear what the actual changes are going to be but of course those changes are many years away. So we think that will go over a bit and then we’ll be back to whatever the situation is in each country and each organization.
Jeffrey Silber: Okay. And if we can go back to the second quarter you talked a little bit about the pricing environment in France. I'm just wondering generally, are you able to get price increases in this kind of environment?
Jonas Prising: We've actually been very good at making sure that we hold onto as much as any increases related to taxes or otherwise and you've seen that in our overall results, but all was in the context of an extremely price-sensitive market. And as we talked about on the last call, we've applied some pricing discipline and it's possible that some of our gap-to-markets over the last quarter's, of course, you remember that the prior two and half years we were ahead of market that some of that could come from the pricing discipline that we've had, but we also know, of course, that some of the segments of the markets are growing faster. So, it's really something where you have to pay great attention, be very purposeful, and extremely disciplined and that's exactly what the team has been and done an excellent job at.
Jeffrey Silber: Okay, great. Thanks so much.
Operator: Next question comes from the line of Gary Bisbee from RBC Capital Markets. Please go ahead.
Gary Bisbee: Hi, guys, good morning. I wanted to ask about perm more broadly to acknowledge some maybe softening in the U.K., but this has really been a great story for you in profit driver in the last couple of years. Is that uncertainty around Brexit and just I’d argue there's a lot of things, political uncertainties in U.S. et cetera that - are you seeing that have any impact on perm in your discussions around demand for perm, or is this good growth broadly overall seem sustainable in the kind of choppy environment you described?
Jack McGinnis: Yes, we've - and as you have seen - thanks Gary, as you've seen we actually improve the growth rates of perm between the second - the first quarter and the second quarter, going from 9% to 12% growth. And our percentage of GP is now at 15.2% for also the second quarter just as it was for the first quarter. So its a record high. And I think two things, a lot of our customers are really seeing us as a source of talent from a flexible perspective and now increasingly from a permanent perspective, because we are a one-stop destination for them in terms of acquiring talent. Full stop. And I think that is really the case and as you know over the years we've invested in those resources and made sure that our clients know that we have this capability. So a lot of this is really us becoming a much more prominent player in permanent placement. Now, having said all of that, we're very pleased with the progress that we have and we think there is still significant room to continue that growth within the limits that we discussed on the last earnings call. So, we’re please to see the progress of 15.2. We think we can do more in many markets, continue to take market share from other players in that space and you saw our growth in Italy, you saw very strong growth in France, so traditional markets where we haven't been a strong and perm. We've seen some good opportunity there. But if that market becomes more difficult, perm could be affected but we really deploying a new service as far as many customers are concerned. I think, we can still see some good developments, they're going forward as well.
Jonas Prising: I think that’s what’s interesting about this cycle Gary as we’ve seen very strong perm growth early in the cycle in several markets a number of markets so as we are looking at our perm growth today in markets that are still, I would consider certainly early cycle like France. We saw a growth in the second quarter of 17%. Italy was up 26%. So it's a really good perm growth across the cycle. I know many of you think about the perm growth comes later in the cycle and only later in the cycle. We’ve been able to see it across the cycles. So I think that secular trend that Jonas is talking about how clients are seeing us seeing value in our solutions is coming through as well.
Gary Bisbee: Great. If I could just ask one quick follow-up, how much of your cash balance and of your cash flow on an ongoing basis is overseas and I realize your leverage is very low but as I get to a point where it becomes harder to sustain the buyback activity that you’ve been doing based on having to pay taxes to repatriate that cash or is that not really an issue? Thank you.
Jonas Prising: I think from a cash standpoint Gary, as you would imagine a lot of our cash flow generation is from Europe. Just given the diversification of our business. But from a tax perspective, we don't have a lot of cash tied up where it’s incrementally a lot more expensive to bring it over. So we can’t get it back to the U.S. for the most part. Now there are few exceptions to that but we are able, it is accessible to us for the most part and to the extent, we are generating free cash flow and we can use that for - certainly for share repurchases, of course, dividends and then acquisitions whatever the needs might be.
Gary Bisbee: Great. Thank you.
Operator: Next question comes from the line of Mark Marcon from R.W. Baird. Please go ahead.
Mark Marcon: Just a follow-up to that and then a question about the U.S. With regards to leverage ratios that you think you are still comfortable with given this choppy environment, can you speak a little bit to that and capacity for further buybacks once the current authorization expires?
Jack McGinnis: Mark, this is Jack. So when we look at the leverage ratios, as we look at the balance sheet overall. I think one of the key ones is when we look at debt to trailing 12 months EBITDA and as we talked about with that 1.1 and we look at that on historical basis and clearly, we still have a lot of headroom going back to historical levels of 1.5. So when we look at the balance sheet overall, I think we have very good capacity and strong overall. We also look at debt to total capitalization. And as we disclose that ratio also is very strong compared to historical measures. So based on that we feel quite comfortable that looking back at the second quarter in a level of activity that we had and monitoring our balance sheet ratios that those continue to be quite strong and that is the backdrop.
Mark Marcon: That's great. And then with regards to the U.S. in terms of taking a look at Manpower industrial looking at Experis, Experis you mentioned you got some work to do there. Can you give a little more color in terms of some of the steps that are being taken to get up to market levels and then on the industrial side, if I recall correctly they are annualizing some larger clients that maybe have been exited from a price perspective. What do we think exposed clients the ongoing rates looks like?
Jonas Prising: Well starting with the Manpower side, that part of our business here in the U.S. I think is really being buffeted by what is happening in the market both producing customers which is of 70% of our Manpower business in the U.S. and clerical services that are related to many of the same companies and the style of company. So there I think it is a reflection of where we are. I do believe that there is still work that we can do and there are other segments in the market for Manpower that could be better price or better growth opportunities, so that takes some time to shift over to those. As far as the Experis side is concerned, it is really continuing to make sure that we address certain clients with certain delivery models. And as you have seen and we’ve talked about before we are investing recruitment centers and really segmenting certain clients sectors and making sure that we had - have the appropriate delivery mechanism for them, so primarily larger clients. And then that we are able to leverage our branch network, our national branch network for Experis to make sure we are able to go into the higher margin and still good growth areas that exist there for IT talent from a medium-size organization business. So that's really some of the shift that we’re driving. As you've seen, we've been very price disciplined, of course, and our margins have improved, we have good margins and very good operating margins. We want to maintain that and move bill rates up on the Experis side, but there's a number of things that we're doing to make sure that we get a good and solid business there. And as I mentioned early on, we still have a gap-to-market and that’s what we're working very hard on addressing.
Mark Marcon: Great. And the profitability has been maintained not only with all these initiatives, but also all of the internal expenses that go with setting this up. So, sounds like as things improve the profitability should also get better?
Jonas Prising: Well that is, of course, getting better revenue growth as well as, of course, making sure we do so with high levels of productivity and efficiency and quality is exactly what we're trying to do.
Mark Marcon: Great. Thank you.
Jonas Prising: Thank you very much, Mark. And with that we come to the end of our second quarter 2016 earnings call. Thank you for all your questions this morning, and we look forward to speaking with you again on our third quarter earnings call in three months. Thanks everyone. Have a good summer.
Operator: That concludes today's conference. Thank you all for participating. You may now disconnect.